Operator: Good morning, and welcome to the Olympic Steel 2023 Second Quarter Financial Results Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. At this time, I would like to hand the conference over to Rich Manson, Chief Financial Officer at Olympic Steel. Please go ahead, sir.
Richard Manson: Thank you, operator. Welcome to Olympic Steel's earnings call for the second quarter of 2023. Our call this morning will be hosted by our Chief Executive Officer, Rick Marabito; and we will also be joined by our President and Chief Operating Officer, Andrew Greiff.  Before we begin, I have a few reminders. Some statements made on today's call will be predictive and are intended to be made as forward-looking within the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 and may not reflect actual results. The company does not undertake to update such statements, changes in assumptions or changes in other factors affecting such forward-looking statements. Important assumptions, risks, uncertainties and other factors that could cause actual results to differ materially are set forth in the company's reports on Forms 10-K and 10-Q and the press release filed with the Securities and Exchange Commission.  During today's discussion, we may refer to adjusted net income per diluted share, EBITDA and adjusted EBITDA, which are all non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most directly comparable GAAP financial measures is provided in the press release that was issued last night and can be found on our website. Today's live broadcast will be archived and available for replay on Olympic Steel's website. At this time, I will turn the call over to Rick.
Richard Marabito: Thank you, Rich, and good morning, everyone. Thank you for joining us on today's conference call to discuss Olympic Steel's 2023 2nd quarter results. I'll begin with an overview of another strong quarter for Olympic Steel, then Andrew will review our segment performance and provide some comments on market conditions. Following that, Rich will discuss our financial results in more detail. And then as always, we'll open up the call for your questions.  Olympic Steel delivered another quarter of strong and steady performance as we continue to benefit from our diversification strategy and our investments in enhanced processing capabilities. We reported second quarter sales of $569 million with net income of $15 million and adjusted EBITDA of $31.2 million. These results are indicative of the success of our strategic actions, which strengthen our ability to deliver consistent profitability even in the face of market challenges.  After benefiting from rising prices at the beginning of the year, this quarter, we faced headwinds in carbon steel as hot-rolled index pricing fell 24%. We also continue to navigate the industry-wide reduction in stainless steel shipments, while at the same time, absorbing a 10% reduction in Grade 304 surcharges.  Despite these challenges, our adjusted EBITDA was up $2.6 million from the first quarter. Our second quarter results include the full earnings effect of Metal-Fab, which we acquired in January 2023. It was the second largest acquisition in our history. Metal-Fab was a strong contributor to our second quarter earnings, and we will begin to see the benefit of Olympic's supply synergies in the second half of 2023.  In addition, several of our capital expansion projects came online during the quarter, and we continued to move equipment into our new fabrication facility in Bartlett, Illinois. We expect Bartlett will be fully operational by the end of the third quarter. Andrew will provide some additional details on our capital projects in his remarks.  With a strong balance sheet and borrowing availability of more than $340 million, we continue to evaluate additional investments and actively seek acquisition opportunities that will further our strategy to expand into higher-return value-added products. We have a proven M&A track record, and we're confident in our ability to identify the right deals and execute seamless integrations to foster additional profitable growth for Olympic Steel and our stakeholders.  While we continue to invest in our business, we are balancing these investments with our commitment to debt repayment and rewarding our shareholders. We reduced debt by $21 million during the second quarter, and we expect further reductions in the second half of the year. We also continue to pay our higher quarterly dividend rate of $0.125 per share, which allows our shareholders to directly benefit from our consistent performance and strong financial results.  Now I'd like to take a moment to provide some color on how we are thinking about market conditions and our outlook for the rest of the year. While the near-term economic environment plays out, we do expect demand from our OEMs to remain steady in the third quarter, subject to normal seasonal trends. Longer term, we remain optimistic about the future of the domestic steel market. We expect that the solid outlook for manufacturers, increased government spending to support infrastructure and other projects as well as bipartisan support for steel tariffs and quotas will continue to benefit domestic steel producers and metal service centers.  In addition, our value-added processing capabilities put us in an excellent position to continue capitalizing on growing demand for fabrication as more customers look to outsource this work. I'm confident that regardless of what market environment we face, we have strategically positioned Olympic Steel to deliver more consistent results and higher returns than in the past. We are stronger than ever, and we will continue to execute on our strategy to further reduce the impact of market cyclicality on our business and deliver profitable growth. Now I'll turn the call over to Andrew to provide more detail.
Andrew Greiff: Thank you, Rick, and good morning, everyone. Olympic Steel continued to build on the strong start to the year in the second quarter. As Rick noted, we earned $31.2 million of adjusted EBITDA despite facing carbon pricing headwinds and industry-wide pressure on stainless steel demand and surcharge reductions. This performance reflects the great progress achieved to reduce the impact of market cyclicality on our business. The deliberate steps we have taken to strengthen Olympic Steel have made us more resilient and we are proving that we can deliver more consistent performance in any market environment.  Now turning to our performance by segment. Our Carbon segment accounted for $18.4 million of adjusted EBITDA for the quarter. The carbon team's ability to maintain its discipline and focus on the fundamentals of inventory and expense management was critical to our success this quarter. Additionally, the ongoing successful integration of our Metal-Fab acquisition bolstered the segment's results. To date, Metal-Fab is performing extremely well, and the integration has been smooth. Congratulations to David Gea and the entire carbon segment on their outstanding work and performance this quarter.  Our pipe and tube segment led by Bill Zielinski, also delivered very strong results with adjusted EBITDA totaling $10.1 million for the quarter. This is pipe and tubes fourth strongest quarter of profitability ever, a big accomplishment achieved by focusing on margin improvement and capitalizing on growing demand for our value-added processing capabilities.  We believe we are particularly well positioned in this segment due to our capacity to handle outsourced fabrication work, which is increasingly in demand among our customers, and we expect this trend to continue. As expected, specialty metals, led by Andrew Markowitz, continued to experience soft market conditions during the quarter. Despite these market challenges, specialty metals earned $7.7 million of adjusted EBITDA.  We continue to make progress on our new fabrication facility in Bartlett, Illinois, which will provide additional capacity as we look to continue capitalizing on the strong demand in this area. To support the growth opportunity in both carbon and white metals fabrication we welcome Max Fitzgerald to the Olympic team and the newly created position of Vice President, Fabrication. In this role, Max will lead the execution of our fabrication strategy with a focus on strengthening the organization's fabrication-related commercial presence, facilitating operational standardization and implementing new technologies.  Supporting Max is Matt Grussing, who has been promoted to Director of Sales, fabrication. Matt will report directly to Max and focus on developing and implementing strategies to grow the company's fabrication business. We are excited to execute on our growth strategy and fabrication and look forward to helping them succeed in their new roles. We're pleased to report that a number of our capital projects came online this quarter.  At our Winder, Georgia facility, our second automotive stamping press, which includes a fully automated packaging line, is now fully operational and performing extremely well. At our Buford, Georgia operation, we installed 2 new 10k lasers, 2 new robotic welders as well as a new 20k laser, which provides high-speed precision cutting of thicker gauge material. We are operating very well. These investments support our strategy to prioritize automation and safety and are instrumental in driving increased efficiencies and growing our business.  As Rick mentioned, while we work through the near-term market dynamics, we remain confident in the actions we have taken, and we are optimistic about our performance and the future prospects of the domestic metals industry. Thank you to our entire team for another quarter of steady performance. Now I'll turn the call over to Rich.
Richard Manson: Thank you, Andrew. It was another strong quarter for Olympic Steel and one that reflects our ongoing investment in the business and our capacity to meet customer demands. As we review our second quarter 2023 results, keep in mind that year-over-year comparisons will be more difficult due to the January 2023 acquisition of Metal-Fab whose results roll up through our carbon segment. For the quarter, net income totaled $15 million compared to $37.6 million in the second quarter of 2022. Adjusted EBITDA in the quarter was $31.2 million compared to $58.8 million in the prior year period.  During the second quarter of 2023, we recorded $1 million of LIFO pretax income compared to no LIFO adjustment in the second quarter of 2022. Consolidated operating expenses for the quarter totaled $101.6 million compared to $94.8 million in the second quarter of 2022. Our operating expenses for the second quarter of 2023 totaled 17.9% of sales and $365 per ton versus 13.4% of sales and $346 per ton for the same period in the prior year.  Our second quarter and year-to-date operating expenses reflect the addition of Metal-Fab, which does not report tons sold. Therefore, operating expenses per ton at the consolidated level and for the carbon segment will appear higher year-over-year. Consolidated operating expenses for the second quarter include $10.5 million of Metal-Fab operating expenses and $6.6 million of lower variable incentive expenses when compared to the second quarter of 2022.  Inflationary pressure on operating expenses has been declining over the past 2 quarters sequentially. We estimate the impact of second quarter 2023 inflation at just under 2%. We reduced debt by another $21 million in the quarter, bringing our total debt at the end of the second quarter of 2023 to $238 million. Cumulatively, since the $131 million Metal-Fab acquisition in January 2023, we have reduced debt by $59 million, and we expect additional debt reduction in the second half of the year.  At quarter end, our credit availability was a near record $343 million. We remain in an excellent position to continue our acquisition efforts as well as investing in organic growth opportunities to further strengthen Olympic Steel. Capital expenditures totaled $15.1 million for the second quarter of 2023 compared to depreciation of $10.3 million.  We continue to estimate 2023 capital expenditures in the $30 million range. Additionally, our second quarter 2023 effective income tax rate was 30.3% and compared to 27.1% in the second quarter of 2022. This increase in our effective tax rate is primarily attributable to increased Mexican transactional sales and profits which carry a higher effective tax rate than our U.S. operations. We expect our effective tax rate for the balance of 2023 to approximate 28% to 29%. Also, during the quarter, we paid our quarterly dividend of $0.125 per share.  Our Board of Directors approved a $0.125 per share dividend payable on September 15 to holders as of September 1. We have now paid dividends to our shareholders for 73 consecutive quarters. Our to diversify our product offerings and invest capital in higher-return opportunities helped drive our strong performance in the second quarter, even in the face of some challenging and uncertain market conditions.  Looking forward, we remain optimistic, and we will continue to seek opportunities to further diversify and strengthen our business. Now operator, please open up the call for questions.
Operator: [Operator Instructions]. Your first question comes from Samuel McKinney with KeyBanc Capital Markets.
Samuel McKinney: First, I wanted to start in pipe and tube. Gross margin was great in the first quarter, typically your strongest quarter, but those strong margins held firm in the second quarter, even though the second quarter typically doesn't see the rebate income that first quarter does? Do you attribute all that margin strength to the value-added lasers and outsourced work? And how sticky are those 30% margins moving forward?
Andrew Greiff: So Sam, it's Andrew. Great question. We do see those margins continuing. As we take a look at value-added today, that probably represents somewhere in the 34% to 35% of sales. We think by the end of the year, that's going to get closer to 40%. It's been the objective of CTI to really get that number approaching 50%. So we've spent good money in value-added equipment and really do expect that, that's going to continue to grow elongating the margin.
Samuel McKinney: Okay, Andrew. That's helpful. And then HRC pricing overall declined sharply during the second quarter and has continued to fall in recent weeks. I know your order books weighted more towards contract versus spot. But can you talk us through how you're thinking about carbon flat segment pricing into the third quarter, especially given the seasonal volume effects you're expecting?
Andrew Greiff: Yes. Another great question. I'd say we're seeing -- as we take a look today, lead times on hot-roll is still running 4 to 5 weeks. We still see the market being very steady, but there is more capacity coming on stream. so we do think that prices will be a little challenged, but relatively steady, I think, to where we're seeing it today. And then would expect we'll see whatever seasonality there will be as we get into the fourth quarter. But I think the mills are running well. And I think at the moment, unless lead time really gets greater than 4 to 5 weeks, we're going to see consistency as we're seeing it today.
Samuel McKinney: Okay. And then lastly for me, turning to specialty metals, inventory levels at service centers are continuing to fall, they are at their lowest level in the last couple of years. Can you talk specifically about the impact of those falling inventory levels and if you're feeling any import pressure?
Andrew Greiff: Yes. So I would say that for us, our inventory is probably a little bit higher than where we would like it to be. Import certainly is a big factor. We're seeing probably similar to what we have seen over the last 3 to 4 months not like we saw last year, last year around this time, we were seeing stainless imports in the 45,000 to 50,000 tons a month. We're not seeing it as high right now. But there certainly is pressure. Demand is relatively flat. And I think inventories still need to come down a little bit for the service centers to start feeling comfortable. You're right. They are down according to the metals activity report, but I think you'll see over the next month or 2, I think you're going to see them come down a little bit more.
Operator: Next question, Dave Storms with Stonegate Capital Markets.
David Storms: Hoping you could just touch on -- a lot of the work you've done to diversify our offerings. It looks like it might have changed a little bit last quarter with carbon flat products taking up about 55% or more of your revenues. Is that just from the Metal-Fab acquisition? Or is there more to that story?
Richard Manson: Dave, I think it's 2 points. I mean, I think in general, yes, it's up a little bit because of Metal-Fab -- I think the bigger story there has been on the stainless side. So industry-wide, it's been slower stainless sales, and we're not immune to that as well as the average price of stainless has come down. So yes, I think we popped -- I think it was about 50 -- it used to be about 53% on carbon flat. I think it was 55% for this quarter.
David Storms: That's very helpful. And then just looking into the second half of '23, should we just expect typical seasonal factors? Or is there any unusual planned downtime or anything like that, that we should have on the radar.
Richard Manson: Yes. I think, Dave, what we typically see Q3 sequentially after Q2, historically is 3% to 5% down just because of less effective shipping days kind of due to the holidays in July. And then what I would tell you is that 2023 has been very typical of a seasonal steel year. So I would kind of expect those trends to continue.
David Storms: That's perfect. And one more for me. Just unemployment is still right around the 3.5%. Is that having any impact on your ability to get labor and maintain it?
Richard Marabito: This is Rick. We've seen a little bit of relief on the labor side, so it's a little bit easier to hire compared to last year and certainly 2 years ago. But at low unemployment levels and the demographics that we're looking at, I mean, I just think this is kind of -- where we are is kind of going to be the new reality in terms of manufacturing in the United States. But it -- the real pressure from the COVID impacts, we've seen a little relief from that.
Operator: Next question, Chris Sakai with Singular Research.
Joichi Sakai: Just had a question on specialty metals flat. I wanted to get your sense of demand there and also the cost of the materials sold at specialty metals flat. What are you guys seeing for the rest of the year?
Andrew Greiff: Well, I would tell you, Chris, that nickel plays, as you know, an important role in stainless. Nickel has been in that 59, 60 range. prognosticators think it's going to come up a little bit. Aluminum, again, is probably pretty steady. So just talking to the analysts, they think this is about where you're going to see it maybe now the balance of the year may be up a little bit.  And what I would tell you is if imports stay the way that they are in the domestic mills who are running pretty well, pricing is going to stay right around where it is. I mean we've seen a real falloff on the nickel surcharge these past 3 months. I think we're going to see a little bit of steadiness as we come into September. And then it's hard to really say for the balance of the year, but most are predicting that it's going to stay relatively steady, which will mean our prices are going to stay about the steady.
Joichi Sakai: Okay. Sounds good for that. And can you talk more about fabrication and what are your opportunities there?
Andrew Greiff: Yes, it's a great question. So it's a -- it's really a driving part of what we're looking at. So as we take a look at the industrial OEMs, Chris, what we have seen is that the need for value-add and fabricated parts has grown, and it's really taken off since COVID. The manufacturer today -- we really think about that they're looking in 3 key areas, and that's R&D, assembly and marketing and their real need for welded fabricated parts has grown.  We have been fortunate to participate in that. We're continuing to invest heavily in downstream value-added equipment. It's why we brought Max Fitzgerald in to be our new Vice President of Fabrication and promoted Matt Grussing to be his number one guy in this. It's going to be a big growth area for us, and we'll invest big in downstream equipment there.
Operator: I would like to turn the floor over to Rick Marabito for closing remarks.
Richard Marabito: Thank you, operator, and thank all of you for joining us on our call today. We certainly appreciate your continued interest in Olympic Steel. And we look forward to speaking with you again next quarter. Thank you, and have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.